Operator: Good afternoon, ladies and gentlemen and thank you for waiting. We would like to welcome everyone to Bradesco's Third Quarter 2022 Earnings Conference Call. This call is being broadcast simultaneously through the internet Investor Relations website, bradescori.com.br/en. In that address, you can also find the presentation available for download. We informed that all participants will only be able to listen to the conference called during the company's presentation. After the presentation, there will be a question-and-answer session when further instructions will be given. [Operator Instructions]  Before proceeding, let me mentioned that forward looking statements are based on the beliefs and assumptions of Bradesco's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect their future results of a Banco Bradesco and could cause results to differ materially from those expressed in such forward looking statements.  Now, I'll turn the conference over to Carlos Firetti, Business Controller and Market Relations Director. Please go ahead, sir.
Carlos Firetti : Thank you. Good afternoon, everyone. Welcome to our conference call for the discussion of our third quarter 2022 results. We have today with us in the conference call our CEO, Octavio de Lazari Jr; Andre Rodrigues Cano, Executive Vice President and CFO, Casionis Carteli, [ph] Executive Vice President; Eurico Fabry [ph], Executive Vice President and [Indiscernible], Executive Vice President of Bradesco.  Also we have with us, Osvaldo Fernandez, Executive Director; Ivan Gontijo, Bradesco Seguros Chief Executive Officer; Curt Zimmermann, Banco Next and Bitz, Chief Executive Officer and Carlos Giovannis Navis [ph] Banco [indiscernible] Chief Executive Officer.  I turn now the floor to Leandro Miranda, Executive Director and IR of Bradesco.
Leandro Miranda: Thank you, Firetti. Thank you all once again for taking part in our earnings conference call. The third Q earnings reflect the current economic moments in a market that goes through cycles. We have to reverse at various points in the credit cycle.  When the pandemic began bringing longer known threats and expectation of a worsening economy, we made significant credit provisions. As the economy improved in 2021 and the beginning of 2022, we were able to release part of the excess provisions, especially in the medium large companies industry. Right now, we are moving to a cycle of increasing provisions that is expected to continue throughout 2023 due to the loans that have been granted in the mass market.  We are now at full speed into reforming the bank. As of today, we are undoubtedly one of the largest Digital Bank in Brazil, while maintaining the greatest physical presence among the peers. We transformed our way of serving clients according to their preferences and needs. Customer centricity is behind our motto, between us, you always come first. We hold that unique positioning with the largest investor insurance company in Brazil, and in Latin America, I capillarity that unites the physical and the digital, certainly define us financial products offering Brazil from individuals to corporates.  As you know with Bradesco has extensive operations, serving all segments of clients, either individuals or companies and that came all over Brazil. As a result of the strategy with a broad position in the market, our activities in loans and banking are correlated with the performance of the Brazilian economy and disposable income. The economic scenario, high inflation and interest rates lead to a deterioration in the client's payment capacity, and the constant increase in non-performing loans make unnecessary great provision expenses above our initial expectations.  The delinquencies ratio grew in the low income mass market segment for individuals in migrant small companies. Observing the delinquencies use of recent harvest, which already indicate improvements in all the adjustments we made in 2022 we projected the link which should stabilize and improve in the course of 2023.  In the last two quarters, we have made provisions of both the NPL formation, which should continue into the 4Q 2022. The brisk hike in the SELIC versus the natural speed of renew in our prefitted loan portfolio has also affect the results of the market NII. As we point out in the previous quarter, this effect will probably continue in the fourth Q and throughout the first six months of 2023. Our profits is expected to remain under pressure for a few quarters, but they should change more consistently in the second half of 2023.  We believe that the bank will continue to be able to operate with an improved level of return. We will pursue this and continue making the needed adjustments return to the level of profitability. The drivers of our recovering the performance includes, improved delinquency ratio, which should pick between first quarter '23 and second quarter '23 and improve thereafter, which will allow us for a gradual reduction in credit provisions.  A significant improvement in market NII mean from the second half of 2023; the evolution of the income from insurance group; maintaining a strict cost control and the contiguity of the good results in the wholesale bank with a high return level and that even record the lowest historical delinquency rates over 90 days.  With respect to this quarter earnings, we saw a drop in a recurring net income of 25.8% compared to the previous quarter, primarily due to credit provision expenses, market NII, and income from insurance. The loan portfolio rose by 13.6% in an annual comparison, which association -- was associated with original mix, benefits the client NII, which will 24.7% over the same periods. Finally, we'll close it out the quarter with a 13.6% Tier 1 capital a level that points to the strength of our balance sheets.  Now we move to Slide 3, we compare the net income accumulated over the first nine months of the year, with the same period from last year. The main items that made a positive contribution to the profit were client NII, which presents an increase of BRL9.5 billion is reflecting the growth in the loan portfolio and spreads in addition to the origination mix, that has been more concentrated in the short term lines that have higher margins. Income from insurance, which grew BRL2.5 billion realize benefit by higher premiums and increased financial income despite the increase in the claims ratio.  We also have two items that reduced profits by nearly the same magnitudes. Market NII, which posted a reduction of BRL6.8 billion as a result of the impact of the accelerated increase in high level managers of the Selic rate on our ALM and BRL6.6 billion higher credit provisions reflecting the portfolio growth origination mix and increase in delinquency. This amount includes BRL1 billion that we made make as a supplementary provision this quarter.  Now we turn to Slide 4, let's talk about loan portfolio which grew 2.7% compared to the previous quarter, and 13.6% compared to last year. Origination for individuals is 10% lower than last year, but with the superior credit quality. The adjustment was made mainly to the low-income mass markets, which presents more credit risk as we restricted the criteria for approval, given the scenario for high delinquents.  An example of this is that today, we approved 48% of credit proposals compared to 58% a year ago, and 68% to the pre-pandemic period in 2019. The 38.8% growth in credit card reflects the increased penetration of cards among our high-income clients. In addition to the increase in average expenses after the pandemic and inflation over the periods. Here we are also very restricted with the low income segments.  In equity credit the 3.5% surge is due to our focus on agribusiness through our 14 agro platforms. The crop year began over this third quarter and this portfolio should expand even further. The renegotiated portfolio remained stable as a proportion of the loan portfolio.  Turning now to Slide 5, as we said, the delinquencies over 90 days was affected by the economic cycle. The ratio group 0.4 percentage points with an increased concentrating the mass market declines individuals in microns small companies, segments that were most affected by inflation. The order delinquencies has remained stable for two quarters, reflecting the adjustments we made in origination. This quarter, the gross credit provision was once again higher than the NPL for nation and as a result, the cost of risk reached 3.3%. The coverage ratio for the NPL 90 days remains at very strong level of 201%.  Now we go to Slide 6, to talk about NII. Overall NII has risen by 5.7% in accumulated nine month. Client NII continues to expand, benefiting from portfolio growth and favorable spreads, given the product mix, in addition to the positive impact on the deposit margins, due to the increase in the Selic rates, the increase over the year is 23.4%. The chart at the bottom of this slide, we highlight the client NII net of credit provision, which is 10% higher compared to 2021 and 25%, higher than what we had in 2019 pre-COVID. Client's NIM also continues to evolve, up 10 bps in the quarter while the net NIM impacted by the higher provisioning post the reduction. In market NII, the ALM portion continues under pressure, we can say that the performance in the fourth quarter should be better than the third quarter. Although is still negative. The recovery of this line should be gradual, during 2023, with the second half better than the first one, considering the current expectations of interest rates in portfolio with rising. Now let's move to Slide 7. Let's talk about Insurance Group results. Accumulated net income expanded by more than 28% with a major contribution from the operating results, which offset the financial results influenced by the dynamics or the financial indexes. We highlight the growth in revenues across all business lines 18.9% in the third Q, and 17% higher in the year overall. Therefore, the income from insurance our guidance continues with a very positive performance growing 32% in the year with an emphasis on operational performance.  The volume of claims directly related to COVID in the third Q reach a BRL209 million, the lowest in the series in BRL1.1 billion in the year around 73% less as in the same fear last year. Our loss ratio is already showing a reduction from the previous quarter and from the third Q '21. The Insurance Group continues to grow and improve its operating performance, with an expansion the number of insurance clients and items thus reinforcing our strategy and confidence in the segments.  Turning now to Slide 8. Fees grew 4.8% for the year, card income increased by 3.8% in the quarterly comparison and 22.2% for the years. That reflective volume has demonstrated a progressive growth and it's worth mentioning we have increased our base specially in the high income segments which reaches 39% share, a group with lower risk and higher return. We reached it 76.8 million clients mainly a growth of 4.3 million clients which contributed to maintain the level in the checking account line offset the substantial part of the drop in revenue from service packages and from the use of peaks.  Continuing the service items is Slide 9 outlines our performance and growth in the private banking segments. We are currently the second largest private bank in Brazil, with around 22% share in the local market and a multiple growth in recent years. Since 2019, we have grown the volume of managers resources by 52%, arriving at $308 9 billion.  We have also continued to advance our specialization and increase our bankers and consultants seem with a solid value proposition, which was reformatted with acquisition of our Bitz Bank, formerly Bradesco Bank Florida. We will continue on with our strategy of observing acquisition opportunities in signing agreements in partnerships, such as those with JPMorgan, BNP Paribhas an Independent Wealth Management we both benefit, with a view towards increasing our share in the industry by providing the best offer to our clients.  We will now take a look at Slide 10. Operating expenses posted a 4.6% growth in the year, a mark below inflation for the periods. IPCA at 7.2% and GPM at 8.3% The personal lines grew by 11.6% impacted by the collective bargaining agreements of '21 and '22. We also continue to invest in enforcing and improving our investment advisory technology, data science teams in an effort to enhance our processes and provide a better experience for our clients.  We continue our focus on optimizing the physical presence and investments in digitalization of client services. These actions and trench have helped it to contain the increase in the administrative expenses at 6.2% for the year. Bradesco Expresso, our banking correspondents network complements our physical presence with great clarity and convenience for customers in a structured based on variable costs.  We will now discuss capital and liquidity on Slide 11. Profit generation and positive mark the market on security over the quarter more than offset the distribution the form of interest on shareholders equity, and the consumption by weight of assets, increasing our Tier 1 capital by 30 bps, which continues in a very strong level. Our estimates for the fourth quarter suggests that we will finish the year with a level closer to the current one, even with the impact of nearly 40 bps in December with the completion of the application of the rule for handling tax credits originating from the heads of investments abroad. We closed out the quarter with a high level of LCR. Turning now to Slide 12. Making sure our clients digital experience is always improving. We are committed to keeping them at the heart of our decisions. This is a strategy that provides increased autonomy and a better experience for them and results in a lot more business. Currently, 71% of our account holders are now digital, in 98% of all transactions take place via digital channels.  In an annual comparison, the opening of accounts directly through the app grew by 62% for individuals and by 66% for micro entrepreneurs. The frequent upgrades that we performing app which introduce new features and experiences based on data and aligning with the needs of our clients has been an enormous success with clients evidenced by the 90% level of overall satisfaction with our -- at with official stores NPS.  Turning now to Slide 13, with respect to the sustainable business agenda, we remain committed to carrying out our activities with a positive social environment impacts and we have already achieved 63% of the growth. We have over 20 products that boast social environmental benefits in our portfolio, and two solutions should be highlighted for the group within the last few years.  First of all financing for the purchase of solar panels, which reaches BRL1.2 billion and financing for hybrid and electric vehicles which rose 4.5 times. For environmental issues, we'd like to point out the importance of our historical partnership with the [Indiscernible] Foundation, an initiatives that we are proud of.  We have supported SLS since 1989 and over 34 million native trees have been planted in line Brazilian states over the spirits. And finally at this On the 27th UN Conference on Climate Change is taking place in Egypt, which we are participating in. We include the climate agenda, and the sustainability strategy and follow all major trends to ensure that Bradesco is maintaining its pioneering spirits in reserve significant and relevant issue.  We now move on to Slide 14. Our last slide today. Considering our performance to the third Quarter, we believe that we'll be able to lower part of the range for loan growth and fees. At the top of the range for costs, insurance and client NII. With regards to credit provisions, we decided to revise the guidance.  According to our projections, the credit provisions for 2022 will be in the range from $25.5 billion to $27.5 billion revised. This performance reflects the points recovered on the credit cycle in the mass markets, despite a further strong performance in loan quality and wholesale markets. On market NII as we mentioned earlier, we should return to positive levels in 2023. In the fourth quarter, this line shall remain negative, but better than the level of the third quarter.  Thank you very much for attention. And now we will begin the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Jason Mollin with Scotiabank.
Jason Mollin: Hello, everyone. Thanks for the opportunity to ask questions. I just wanted to clarify some comments you were making previously on the conference call and in Portuguese. You talked about the material change in your outlook for provisions in the loss allowances now versus the second quarter. I just wonder if you can clarify and you talked about the outlook is change. And when we look at the macro forecast from Bradesco at the end of the second quarter versus today, if it doesn't-- you're seeing something that we don't see in the top down numbers, just the inflation looks better than you were expecting in the second quarter, the general price index looks better. So I'm just trying to understand I mean, clearly, you're telling us and we saw in delinquency that there was a worsening. And I'm just trying to understand how the provisioning outlook changed so much in one quarter to the next?  And then my second question is related to loan sales that you've been doing. But if we calculate that, that you sold more loans BRL2.8 billion in the third quarter up from BRL2 billion in the second. And we wanted to understand how that impacts your asset quality metrics. Were those loans 90 days past due or what could you tell us about how if we consider those loan sales how that would impact asset quality? Thank you.
Leandro Miranda: Hi, Jason, thank you for the question. This is [indiscernible]. Regarding your first question on the outlook. Basically, I would say more than the change in the outlook what changed was kind of the impact we saw in our loan book in term and also in the evolution in terms of credit quality. In the second quarter results, basically, we advise that we were seeing provision expenses probably coming a little bit above our guidance already. And the trend actually materialized in our view. It is more fair to provide revised guidance that brings our best view for the moment on that line. So basically, in a nutshell, I would say that was what drove us to do this revision. The evolution in terms of quality we're seeing more the next big change in the outlook, but actually the outlook, the high inflation, and is one of the things that hit defiance. And that is really the driver for the situation considering our position in the markets. Even though there wasn't a big change in the outlook numbers itself.  I don't know if you would like to say something. Okay. Yeah, considering the sale of loans or NPL, basically these loans were basically in our book than more war mostly loans that were negotiated portfolio, retail loans. Basically, in the kind of segments, we were pointing as the ones that were have been more affected by the increase in delinquency as I said credit cards, personal loans. And the impact of this sale is something around 30 bps in terms of 90 days NPS. 
Unidentified Company Representative: Hi, Jason. It's Enrico Pareto [ph]. Just to clarify about credit performance, I think it's important to highlight that the events are performing much better than the vintage before. Especially the vintage before 2019, 2018 and 2017, especially due to the fact that Leandro highlighted about the approval rates and all the adjustments that we proceed in the portfolio after December 2021.  So we start, by tightening the policies since then. And we continue with a tightening process. So our approval rate before the crisis in 2019, reached the level of 68%. During the pandemic, it went up to 58%. And then after December 2021, has decreased gradually to 48%. So it's been at 20 points, percentage points below what we experienced before the credit.  And according to that our through the door profile has improved a lot. So just to mention, one big sized portfolio, as the current portfolio, we used to have at a very low risk, and through the door, in average 60% of the new acquisitions. And today we are above 80%. And we're gonna end up the year with more than 90%, between very low risk and low risk through the door acquisition. These kinds of indicators also highlight a better performance in the first book of collections that we see that we are performing. We know what do we have in the first bucket in 2019, I'm highlighting 2019 because it's before the crisis. So and we also experienced a decrease on the indicator in the last few months.  Of course, when you talk about portfolio over 30 days there, the growth rates are higher than it used to be before and that's the reason why we still believe that delinquency is going to go up a little bit in the first quarter of 2023, and you're stabilized in the second quarter and then gradually will decrease in the second half of 2023.  Regarding to your question about asset sales strategy, it's important to say that our asset sales strategy is focused on the client with low probability of recovering. So what do we do? We analyze every quarter the client with low probability of recovery and we trained to focus our collection chain all the new delinquency because there we can recover the clients and with these 44B segment that we identify a low probability of recovery, than we use that for the sales and the asset sales attracted sales strategy.  It's important to say that most of these portfolio is already written off and the portion of this portfolio that is non-performing mean, in other words, before we turn off 90% of this portfolio is fully backed by provisions. And the average delinquency of this portfolio is over 230 days.  So you're talking about really a specific portion of the portfolio. And it's part of our strategy, we're going to continue to do that, in order to release our collection team to focus on what makes sense for recovering relationship with customers and protecting our assets on the new delinquent. That is the most important for us. And those delinquents that we don't see any high probability or very low probability of recovery, we are going to continue with our standards and practices.
Jason Mollin: That's very helpful. And I do appreciate that when you see the risk rising, that you are acting appropriately and making the provisions. Thank you. I appreciate the answers in color.
Operator: Thank you. Our next question comes from Chuck Batista with UBS.
Thiago Batista: Yes, we will discuss the positive on call and the expectation on our call that most of the Declaration of equality was completed in the low income segment. I look at those questions on this point. The first one, if, but this will show already in impact of the higher checks that have been paid last month, they are flagger view for instance? The second one, if you are seen in kind of, if you believe in any kind of adverse selection of the low income clients, so maybe the good low income clients are going to be fintachs and this goes is staying with a bad loan compliance.  And the third one is defining the final one. If you see any difference in the profile, on after quality of that discuss traditional clients, or traditional low income clients, in next, loan compliancy if the way the client went to the Bradesco, or Bradesco [indiscernible] Next, explain any differences in the actual performance you're doing there?
Leandro Miranda: Chuck, it's Leandro speaking. Well first of all, Max has its own clients, and there is an overlap of 25% of clients. Therefore, the strategies are pretty much different. And we just have our lion's share, as we would have in any digital banks or other income as banks.  Regarding to adverse selection, we don't think so basically, we at times like that we try to work the more we can with existing clients with clients that we know the most with clients that we do understand their profile, their track record of payments, and we have increased it by more than 60% our penetration into high income segments. So we do not think that there was an adverse selection in terms of choosing those clients.  And by the end of your day, as above you said in our first conference call. It's natural that the delinquents came from the low income segments pretty much rates a racing C, D, and E. Because basically, we have the highest bid in Brazil. We are the only bank and every single municipality that's pretty much different from those banks that have clients basically mainsheet as capital. So I think that's much more like a profile of the bank that has its bad times and good times and anything else. And of course, we are talking to small and micro companies as well, because basically they share the profile of the low income, individual clients.
Unidentified Company Representative: Chuck, this is Jualito [ph]. I agree with Leandro. I don't see any kind of adverse selection. The good way to see that is that through their application profile that hasn't changed before the pandemic during different and after pandemics. So we see clearly that is the same profile we used to have. But of course these profiles, and it's our profile is linked to the class, the class C, D and E that has been affected by inflation and higher interest rates. So that's why we see days increase in the liquids rates that we are seeing right now. But in terms of adverse selection, I don't see any indication of that. 
Leandro Miranda: Yeah, maybe you could share with him the ratings in origination, how much they have improved it for all time.
Leandro Miranda: Okay, you made that day in terms of acquisition. As I mentioned before and for current portfolio, we used to have around 60% of low risk and very low risk new cards. And now we're going to hope actually 80% from low risk and very low risk. And we believe that we're going to close the year over 90% of new card customers on these profiles.
Unidentified Company Representative: So by the end of the day, basically, when you see the proportion, we are working with better clients than before, but their situation -- their financial situation has deteriorated heavily. That's pretty much the point
Leandro Miranda: Because very connected to the portfolio. So you'll have an upward pointer that has a credit erratic and has a performance before but the severity of the crisis, the performance has deteriorated. So with these equity portfolios can do something about it's an extremely worthwhile anyway.
Thiago Batista: Okay, okay. In the back from the checks, the fee review.
Leandro Miranda: Actually, Chuck we hadn't seen any impact? We did we perform some analysis on that, and to see if there was any impact in terms of collections, and recoveries and even credit performance. But to be honest, we haven't seen anything that would be significant.
Thiago Batista: Got you. Thanks. 
Leandro Miranda: Thank you.
Operator: Thank you. Our next question comes from George Cody with Morgan Stanley.
George Cody: Hi, good morning, everyone. I wanted to clarify something that was said. Did I understand correctly that the portfolio sales were on loans that are already been written off? Is that 100% of the assault loan sold were original or just a portion? Because I believe, fit at the center the impact on NPLs were 30 basis points from the sales. But if they will read the novel, or don't understand why there was there will be an impact. Just clarify --
Leandro Miranda: Basically, there were BRL2.9 billion in loans that had already been written off and BRL2.7 billion involve that we're still on our books. 
Leandro Miranda: The impact the NPLs come from the 2.7 bps.
George Cody: Got it. And the impact is 30 basis points. Is that the correct number?
Leandro Miranda: Yeah. Yeah.
Unidentified Company Representative: Just a minute, sorry. It's important to highlight that both correspond with, they have the same profile. So very low probability of recovery. And that's the reason why they have been sold. So our strategy is really to understand that population that has a low probability of recovery, and then we sell these portfolio, regardless that they stage of the language of the people even though we know that even if pre-written off workflow is very high net interest rate as I pointed out a few minutes ago.
George Cody: Thank you. And can you comment on what percentage of that portfolio was individuals versus SMEs versus I'm guessing not corporates. But what is the composition of what you've sold?
Unidentified Company Representative: Vast majority as individuals.
George Cody: And is there a particular product that you're seeing more defaults isn't? I mean, you've been talking about credit cards, credit cards, is that is that sort of like the Achilles Heel, the credit card book?
Leandro Miranda: They are concentrated on the product. That are concentrated on the low income segments. So basically, installment loans and -- 
Unidentified Company Representative: Personal loans.
George Cody: Okay, got it. Thank you.
Leandro Miranda: Thank you. 
Operator: Thank you. Our next question comes from Daer Labarta from Goldman Sachs.
Daer Labarta : Thank you for taking my questions. I guess one follow up on Thiago's earlier question about the consideration versus some of the digital banks. We saw digital banks, some been holding up a bit better in terms of NPLs. Any color you can give within those lower income clients, we've seen the deterioration in terms of fines that came from digital channels versus clients coming from the branches. And do you think your growth there was maybe too aggressive to some extent that now it's hurting you on the NPL side or why do you think your NPLs are looking worse than what we've seen from some other peers in the industry, thank you.
Unidentified Company Representative: Thank you, [Indiscernible] speaking. Then Enrico is going to add to answer. Well, basically, we do not see any sort of difference between the group of clients that came through digital channels, as well as from when compared to the group of clients that came from the traditional channels. So there was no difference among the groups as far as statistics are concerned.  When you make reference to the digital business, and then we are referring to max, these you not where they score itself is a different strategy. We grew as a strategy, the base of clients. And now as you thought who point out the morning, we are focused on monetizing those clients, and trying to select the best ones of them and focus on getting better results from them. So we are talking about two different worlds. But regarding to Bradesco, there was no difference between digital and physical channels.
Unidentified Company Representative: Just to complement the point and that Leandro just made. It's important to say that even though the performance within the profile is not much different between the channels, that mix the profiles within the generals are different. So what happens, when we have a digital channel will normally attract more a Class C, D, and E, we very, very attract A and B, in general. So it's very different from our ranks for essence because we have two different channels.  So techniques within the channel change a lot. Even though the profile itself, it doesn't change much between two different channels, just to be clear. So when you combos and the deliquents of the channel itself, it safe to be worse, just on general that our partition or brand channel, mainly because of the mix inside the channel than the difference within the provider.
Daer Labarta : Okay, great. No, that's helpful. Thank you. And maybe, I guess, a follow up question. More in terms of we've seen sort of loan growth in these unsecured segments pretty sure not just that Bradesco, but for the system. In general, I guess, two-point question. I mean, given that growth, do you think how systemic could this issue potentially become and do expect to slow down the growth significantly in those segments from here? I mean, we've already seen some deceleration, but should that flowed significantly or are you still seeing opportunities for them?
Unidentified Company Representative: Okay, well, first of all, I guess when you compare ourselves among the other banks, we are the ones with the most adherence as far as the geography is concerned. So, we are -- we have the largest CDLE-rated clients profile. Other banks are more concentrated in main cities and capital. when compared as a percentage. The second thing is that we do want to slowdown and we are reducing on an ongoing basis, our origination and have been more and more conservative regarding to the approval process to those clients.
Daer Labarta : Okay, perfect. Thank you very much.
Unidentified Company Representative: When they're going to try to focus it even though it's going to be what Leandro said, we're going to have, we have reduced appetite for both portfolio, any portfolio and concentrated on CDLE classes [ph]. Where did you improve the models and continues to improve and try to reach out that better a discrimination, we constantly work on that if there is any new information or something that could upgrade the separation between good and bad. There is a lot of good happened it will leverage on other ways. But the general thinking of that we're going to reduce that advice in general terms.
Daer Labarta : Makes sense. Great. Thank you.
Operator: Thank you, [Operator Instructions] Our next question comes from Geoffrey Elliott Autonomous.
Geoffrey Elliott: Hello, thanks very much for taking the question. I really wanted to follow up on one of the questions on the Portuguese call earlier, where you were asked about why now, in terms of this big change in the outlook for provisions/ And on that call you mentioned inflation as being an issue, but inflation over the last few months has actually been bit lower. So just struggling to understand in the context of inflation coming down a bit fuel tax cuts, some more support to low income people through the [indiscernible] Brazil program, unemployment falling. What's happened over the last three months to make the outlook now, so different from the Outlook back in August?
Unidentified Company Representative: Geoff, this is [indiscernible]. As I said, in a question in the English call, which saw a continued trend in terms of increasing NPLs, especially in the segments we have already mentioned, I'd say in the second quarter call, we had hoped that the provisions in the year maybe wouldn't be much higher than the top range of the call. But when became clear to us that actually the difference was material, we thought it would be more transparent, really to change the guidance instead of just guiding for a range above the top of the range of the former call, former guidance.
Geoffrey Elliott: Okay, so it sounds like maybe there was a bit of upside to the old range as of 2Q But you kind of left those numbers hoped it improved, and then it went the other way. So that's why we've got the adjustment now.
Unidentified Company Representative: Yeah, that's correct. Right.
Geoffrey Elliott: Okay. All right. Thanks very much. 
Leandro Miranda: Thank you.
Operator: Thank you. Our next question comes from Jason Mollin with Scotiabank.
Jason Mollin: Hi, thanks for allowing me to ask another question. I also wanted to follow up on a question from the prior call about the other income. And there seems to be a provision that was -- if you can explain what the movements were in the other income line, that would be helpful. They were large.
Leandro Miranda: Okay. It is related to a tax discussion we had in the administrative body of the Brazilian IRS. We won that discussion recently, and due to that we had to revert to the provisions we had made.
Jason Mollin: So that was a reversal of tax provisions to pay a tax dispute. What was the size of that reversal?
Leandro Miranda: BRL600 million.
Jason Mollin: Thank you very much. Appreciate that. 
Leandro Miranda: Yeah, it was a definitive decision. So we really had to revert that we treated that as a recurrent expense when it happened, and kept it as a recurrent when we reverted. 
Jason Mollin: Okay. I appreciate that.
Operator: Thank you. Excuse me, ladies and gentlemen, since there are no further questions, I would like to invite Leandro Miranda for his closing remarks. Please go ahead, sir.
Leandro Miranda: Well, thank you all for making the time to be here. Our IR team is ready to to clarify any additional questions you may have. And you can send it by email follow us we are ready to answer at any time. Thank you so much. Have a great week.
Operator: That does conclude Bradesco's conference call for today. Thank you very much for your participation. Have a good day.